Operator: Greetings, and welcome to the Magellan Midstream Partners Second Quarter Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded today, August 3, 2023. It is now my pleasure to turn the conference over to Aaron Milford, Chief Executive Officer. Please go ahead, sir.
Aaron Milford: Hello, and thank you for joining us today to discuss Magellan's second quarter financial results. Before getting started, we must remind you that management will be making forward-looking statements as defined by the Securities and Exchange Commission. Such statements are based on our current judgments regarding the factors that could impact the future performance of Magellan and our pending merger with ONEOK, but actual outcomes could be materially different. You should review the risk factors and other information discussed in our filings with the SEC and form your own opinions about Magellan's future performance as well as our pending merger.  As disclosed in our press release this morning, Magellan delivered another solid quarter. Our second quarter results beat our expectations due to higher contributions from commodity-related activities as well as a higher proportion of longer-haul shipments and associated higher average tariffs on our refined product system.  I will now turn the call over to our CFO, Jeff Holman, to review the highlights from our second quarter earnings, then I'll be back to discuss our expectations for the year and our pending merger with ONEOK before answering your questions.
Jeffrey Holman: Thanks, Aaron. First, let me note that I'll be making references to certain non-GAAP financial metrics, including distributable cash flow or DCF and free cash flow. And we've included exhibits to our earnings release that reconcile these metrics to their nearest GAAP measures.  Earlier this morning, we reported second quarter net income of $239 million compared to $354 million in second quarter 2022, which included a $162 million gain from the sale of our independent terminals network. Excluding that prior period gain, the year-over-year increase was driven by higher profits from our commodity-related activities as well as a larger contribution from our core fee-based transportation and terminal services.  Adjusted earnings per unit for the quarter, which excludes the impact of commodity-related mark-to-market adjustments, was $1.23, which, as Aaron just mentioned, exceeded our guidance of $1.10. DCF for the quarter increased to $312 million, up nearly $84 million from last year, while free cash flow for the quarter was $271 million, resulting in free cash flow after distributions of $59 million.  A detailed description of quarter-over-quarter variances is available in our earnings release. So as usual, I'll just speak to a few highlights.  Starting with refined products. We reported second quarter operating profit of $234 million, which were $67 million higher than second quarter 2022 primarily due to higher average transportation rates as well as higher product margin. The higher average transportation rates were driven largely by the midyear 2022 increase in our tariffs of about 6% on average. In addition, the current period continued to benefit from more long-haul shipments, which moved at higher rates, in part as a result of ongoing refinery disruptions.  Product margin increased between periods primarily due to both higher gas liquids blending margins and sales volumes as well as lower unrealized losses in the current period related to our hedging activities. Our realized blending margins doubled year-over-year to more than $0.80 per gallon versus closer to $0.40 per gallon in the prior year period.  Turning to our crude oil business. Second quarter operating profit was $61 million, down $12 million from the '22 period primarily due to lower revenues from our condensate splitter, in part due to lower rates provided for in the splitter extension contract executed last year as well as lower storage revenues in the current period. Otherwise, transportation revenue increased slightly due to additional volume moves.  Longhorn volumes averaged a little over 245,000 barrels per day, up from just over 200,000 barrels per day in the second quarter of '22 due to higher third-party volumes resulting from additional volume commitments. Volumes on our Houston distribution system increased versus the prior year period, in part due to higher shipments from the new pipeline connection that was ramping up in 2022. Since these shipments move at a lower rate than long-haul volumes, this increased HDS activity resulted in a lower average rate for the segment overall.  Crude oil product margin increased versus the prior year period due to higher contributions from our crude oil marketing activities as well as favorable mark-to-market adjustments on futures contracts in the current quarter.  Moving on to our crude oil joint ventures. BridgeTex volumes were about 90,000 barrels per day in the second quarter of '23, down from approximately 215,000 barrels per day in 2022 due to lower volumes from committed shippers. This volume decrease reflects the low prevailing Midland differential and the highly competitive nature of the crude business in general and of the Permian Basin in particular, which we have noted for some time, while again emphasizing the importance of having take-or-pay commitments from high-quality counterparties.  Saddlehorn volumes reached a new record of about 265,000 barrels per day compared to approximately 220,000 barrels per day the year before as a result of higher shipments for both committed and uncommitted shippers.  Just briefly touching on expenses, G&A increased by approximately $18 million between periods for our refined and crude segments combined due to higher incentive compensation costs and to approximately $10 million of merger-related costs incurred in the second quarter.  In terms of liquidity, we continue to have a $1 billion credit facility available and at quarter end had no borrowings outstanding on our commercial paper program. As of June 30, the face value of our long-term debt remained unchanged at $5 billion with a weighted average interest rate on net debt of about 4.4%. Lastly, our leverage ratio at the end of the quarter was 3.1x for compliance purposes.  And with that, I'll turn the call back over to Aaron.
Aaron Milford: Thank you, Jeff. We continue to anticipate the transaction with ONEOK will close during the third quarter of this year and remain confident that the value created by this transaction for unitholders is superior to the value of our standalone alternative, including on an after-tax basis.  That said, based on our second quarter performance, we believe it's appropriate to update 2023 financial expectations ignoring future potential merger-related costs for Magellan on a standalone basis. Our revised full year outlook highlights the quality of our assets and the ability of our businesses to continue to drive value through a stronger combined company once the pending merger with ONEOK is complete.  We now expect to generate $1.26 billion of DCF for 2023 on a standalone basis, again, excluding merger-related costs. This increase reflects better-than-expected performance during the second quarter and continued strong commodity margins expected for the remainder of the year.  On the commodity front, we have hedged more than 3/4 of our forecasted fall 2023 gas liquids blending activity at this point for an average margin of $0.60 per gallon. All in, our full year 2023 expectations currently include an average blending margin of $0.70 per gallon, which compares favorably to the $0.50 we generated last year and our 5-year average margin of $0.45 per gallon. We have also made excellent progress hedging next spring with more than 70% of spring 2024 hedged at a $0.65 margin per gallon.  We have also increased our refined products tariff rates midyear -- excuse me, we also increased our refined product tariff rates consistent with our most recent guidance. The increase -- we increased the 30% of our markets that are subject to the FERC index by 13% and the remaining 70% of our markets by an average of 11%, which equates to an all-in average refined products tariff increase of approximately 11.5% effective July 1.  Turning back to our pending merger with ONEOK. We continue to be confident in the strength and durability of Magellan's business. And we further believe just as confidently that the value unitholders will receive through our combination with ONEOK is full and fair and that it'll be difficult to capture this value on our own.  Prior to the announcement of the merger, we consistently and frequently shared our views that Magellan was undervalued and in response, have repurchased 12% of our outstanding equity since 2020. The same analysis we used to conclude that repurchasing MMP equity created value for our unitholders also formed the basis for our conclusion that a merger with ONEOK delivers more present value than we could likely realize standalone.  Magellan has always been focused on delivering superior value to unitholders. Tax considerations are very important to our unitholders. It's something we've spent a great deal of time considering, especially recently in connection with the pending transaction.  What is clear to us is that the ONEOK transaction delivers more value to our unitholders than Magellan standalone, even on an after-tax basis. Robert Willens, a respected tax expert, reached a similar conclusion. I would highly encourage you, if you haven't done so already, to visit MaximizingValueforMMPunitholders.com to read Mr. Willens' work along with other information about the pending merger and why we are confident the transaction is in the best interest of unitholders.  We've had the opportunity to speak with many investors, analysts, employees and customers. And overall, the feedback has been positive. We are pleased to see that a lot of investors are coming to understand the rationale of the transaction as we have tried to clarify some of the initial confusion in the market around the tax impact.  And as we and ONEOK progress our integration planning and communicate more detail on anticipated synergies, we are confident investors will become even more excited about the combination. It's clear that the market is starting to reflect some of the potential value of the combined company.  While trading prices of our units and ONEOK shares will continue to move around, as recently as July 26, ONEOK shares closed at $67.60 per share. At that price, Magellan unitholders would have received a value of $70.08 per unit based on the terms of the transaction, nearly a 27% premium to the market price of our units prior to announcing the merger.  Operator, we are now ready to answer questions.
Operator: [Operator Instructions]. Our first question is from Theresa Chen with Barclays.
Theresa Chen: Aaron, on the deal itself, so since the announcement came out and the materials have been released since then, you faced some public opposition from your holders. Can you speak to your view on this? And also just which inning are you in related to the education process for both your institutional and retail owners?
Aaron Milford: Well, as we continue to talk to investors, as I said in my prepared remarks, overall, the reception has been positive. We're spending a lot of time communicating and clarifying, frankly, a lot of misunderstandings around the tax impact of this transaction. And then as we go forward from here, we expect to be talking in more detail about the synergies from the transaction. And as we communicate that, people are beginning to understand our rationale.  So the inning that we're in, to answer the second part of your question, the inning that we're in is -- I would say that we're in the first inning. We've got a full game ahead of us, and we're prepared to see it through to the ninth inning. And we think we're going to be successful because the merits of the deal when accurately communicated, we think, are very compelling.
Theresa Chen: Got it. And since you have the full game ahead of you, if it's not enough time from now until September 21, what are the next steps? Would you just choose to adjourn and hold it on another date? And if you can give us some color about what you expect, that would be helpful.
Aaron Milford: Well, first of all, we have the shareholder meeting scheduled for September 21. We think that's plenty of time, and that's where we're focused.
Operator: Our next question is from Spiro Dounis with Citi.
Spiro Dounis: First question, maybe just to hit on the commodity activities, pretty strong this quarter but kind of seasonal. So just curious if you guys can maybe walk through that a little bit further. Just seems like maybe you're doing something differently there to sort of squeeze out those extra margins. And I guess as you look forward, it sounds like you feel pretty good about the ratability of that. So once again, just more detail on how that's working.
Aaron Milford: Yes. So let's break it apart into its 2 pieces and talk first about the margin. We've just had a very favorable setup when you look at our gas liquids blending margin in the sense that we've had relatively strong gasoline prices, and we've had an NGL market that has been a little weaker than what you might think. And that drives a wider margin available for us.  So the margins have just been better. The basis differential, you may recall in the past, we talked about basis being a bit of a headwind for us. And so far this year, it's been less of a headwind than we had anticipated coming in. So we're looking at just wider margins, gross margins in the first place. And we're also not feeling quite the headwinds on the basis differential that we otherwise expected. That's the margin picture.  We see that remaining fairly consistent for the rest of the year based on what we see at the moment. The other part of the overall performance is just volume. We're just doing, as a company, a better job of capturing all the opportunities that are available to us and part of that process in terms of, again, just being better at it. So it's a volume story as well. Volumes are higher, margins wider and the outperformance as a result of both.
Operator: Our next question is from the line of Jeremy Tonet with JPMorgan.
Jeremy Tonet: Just want to talk about the business a little bit if I could. Just curious with regards to fundamental trends as far as product demand trends have been materializing. In your markets, across your footprint, how has that materialized versus expectations so far? And I guess on a go-forward look, how do you see things kind of normalizing there?
Aaron Milford: So we're going to have a very stable and healthy business. When you look at the second quarter of this year, gasoline was down. Distillate was up. It's not unusual for us to see some swings, and the commodities were actually moving. But we expect demand to stay relatively stable and in some areas, be growing, especially as we are able to extend our system.  We have our pipeline system expansion in West Texas coming online fully in the beginning of 2024. So as we think about those opportunities to extend our market, that will provide some growth to us. But the fundamentals, we think, are fairly stable, which means we'll have a slowly growing volume trend, we think, over the immediate period. So we think that sets up very well and just highlights the consistency of our business going forward.  We also outperformed in the quarter, as Jeff and I mentioned, due to longer-haul movements on our pipeline. So that's been a real bright spot for us. The longer hauls are primarily driven when there are refinery disruptions. And as refinery disruptions happen since we're connected to almost 50% of the refining capacity in the U.S., just because the refinery may be suffering some short-term headwinds, the demand is still there, and it has to be served. And we tend to move barrels into those markets to fill those holes when refineries are down. So that allows us to see longer-haul volumes.  Now it's a little unpredictable of when those longer-haul volumes may show up, but they do. And so when you look at a very stable business, slight growth through the extension combined with just the optionality of our system, we're going to have a really stable, high-performing business.  And when you look at the combined company, you fast forward to the pro forma company and you think about the strength of our business inside that combined company and the strength of ONEOK's business and you put those together, we think it's going to be a really compelling pro forma company.
Jeremy Tonet: Got it. That's very helpful there. And just want to touch on exports if I could, particularly, I guess, Permian crude oil exports between Corpus and Houston, how you see that dynamic playing out over time? And any thoughts, I guess, on LPG exports as well to the extent you're able to comment on that?
Aaron Milford: Yes. I don't have any comments on the LPG side. But on petroleum products generally, we expect exports to continue to grow from the United States, whether that's refined products or components or crude oil. We just see world demand pulling those resources into that market. It needs them.  On crude specifically, Corpus is still the predominant export port out of the United States due to its proximity to the Permian and lower cost logistics generally to get into that market as well as the terminal infrastructure that's there. We talked in the past about through time, Corpus, we expect to fill up from the pipeline capacity into that market.  We don't know yet to the extent that capacity will expand. It will expand some, we expect. But as Corpus fills and as Houston's capabilities continue to evolve, we'll start seeing more barrels start heading towards Houston through time in order to meet that, again, growing export demand worldwide.
Jeremy Tonet: Got it. That's helpful. And just one last one on the deal if I could ask. I think in response to earlier questions, you said it, I think, in the early innings here, maybe the first inning. Just wondering from the outside as far as this process is concerned, how can we see, I guess, things are progressing as far as getting the boat out there, getting people to show up and how things are progressing towards a successful deal? What can we see from the outside? When do we know we're at the seventh inning stretch?
Aaron Milford: Well, I think that's a good question. And so if we're in the first inning, we have a game plan to reach our investors, make sure we're communicating the merits of this transaction. And we're going to execute that game plan.  And my expectation is that game plan is going to take us from the first inning all the way to the ninth inning. And we're not going to let up on that game plan. We've got the website set up, where investors who have questions can go get answers. We have outreach plan.  We're talking to investors that call us. So we're talking to everyone all the time between now and we get to our special meeting day. So when I say we're in the first inning, that's the -- in this metaphor, the game that we're in. We're in the first inning. We're getting started.  We're going to execute our game plan. We're going to execute all the way till the end of the game. And then we're confident if we do that, the merits of this transaction will be well understood, and we'll be successful in getting our vote.  But when will we know we get to the seventh inning stretch? I'm not sure I'm worried about the seventh inning stretch. I'm worried about getting to the end of the metaphorical game here.
Operator: And our next question is from the line of Keith Stanley with Wolfe Research.
Keith Stanley: Just one question for me. I wanted to follow-up on the longer-haul movements and some of the refinery disruption impacts. So the average refined products pipeline tariff was very high for the quarter even putting the normal increase aside. It just seemed meaningful, the impact of some of those longer-haul movements. But any other comment you can make on that and expectations for the balance of the year?
Aaron Milford: Yes. So if you think of the second quarter and you isolate it, we estimate that long-haul movements positively impacted that quarter -- or the second quarter by about $20 million, to your point. It was significant.  Now you also have to consider the refinery disruption environment in the second quarter. You had several refineries down in Texas, in particular, that you wouldn't normally expect to have sort of those refineries down at the same time in the manner that they were for as long as they were down. So I think it's a bit of a unique event in the second quarter that we have to be careful not to extrapolate to virtually every quarter from here on out.  But for the second quarter, it was significant, like as I said, $20 million. And they're difficult to predict. I mean, that's the nature of them. What we know is to the extent they occur, we generally benefit from them.
Operator: [Operator Instructions]. Our next question is a follow-up from Spiro Dounis.
Spiro Dounis: Sorry. Back again. Just had one more follow-up related to the deal, a 2-part question on it though. One, I guess, curious on the customer side of things. We've got a sense now where your investors' heads are at or going. But curious what the customer receptivity has been in the last few months.  And then number two, this is maybe tougher to answer. But as you think about the sort of units held on swap, I'm curious if you've been able to garner any sort of consensus on what the broker voting policy is there.
Aaron Milford: Yes. So let's take the -- your first question first, which is the reaction from our customers. And what I have been hearing is a positive reaction. But it's also important to keep in mind that we value customer service, and that hasn't changed.  So all throughout this pending merger, our customers, we've been working really hard to make sure they don't feel any difference in how we treat them and what they expect from us. So from that perspective, our customers, they're still getting the same service they've always gotten, and we expect them to continue to get it.  So the fact that there hasn't -- there's been a positive reaction to the deal overall and that our customers are happy, that's because we're continuing to make sure we do what we need to do to make sure they stay happy. So on that front, there's not really a lot of news there, quite frankly.  To your question on the swap, so those that hold units via swap, there are some brokers that essentially can facilitate those units being voted based on the wishes of the holder. There are others that don't.  Where people are, I don't have -- I don't know exactly how to break that down for you in terms of what percentage can or can't. But we do know there are swap counterparties that will allow those that hold our units on swap to make their interest known and vote accordingly. So it's a bit of a mixed bag. But we think total swap ownership, just to put it in perspective, is probably under 10%, give or take. Does that answer your question?
Spiro Dounis: Yes. No, no, it does. I appreciate you taking a stab at it. I know it was a tough one, Aaron. So I always appreciate the color, guys. I'll leave it there.
Aaron Milford: Yes. And just to follow up on that, Spiro, there have been folks we know on swap that have been moving their positions to make sure they can vote. And we think that's positive. So I'd be remiss not mentioning that as well.
Operator: Mr. Milford, there are no further questions at this time. Please continue with your presentation or closing remarks.
Aaron Milford: Thank you for your time today. We remain confident in the strength of Magellan's business and look forward to becoming a valuable contributor to a larger, more diversified company following investor approval of our pending merger with ONEOK. And we look forward to continuing our discussions with investors in the coming weeks.  We appreciate your continued support and encourage all investors to vote for Magellan's pending merger with ONEOK ahead of our special meeting on September 21, and have a good day.
Operator: And that does conclude the conference call for today. We thank you all for your participation and kindly ask that you please disconnect your lines.